Operator: Good afternoon, everyone. Thank you for joining us to discuss FalconStor Software’s Q4 2020 and Fiscal Year 2020 Earnings. Todd Brooks, FalconStor’s Chief Executive Officer; and Brad Wolfe, Chief Financial Officer, will discuss the company’s results and activities and we will then open the call to your questions. The company would like to advise all participants that today’s discussion may contain what some consider, forward-looking statements. These forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. These risks and uncertainties are discussed in FalconStor’s reports on Forms 10-K, 10-Q and other reports filed with the Securities and Exchange Commission and in the company’s press release issued today. During today’s call, there will be discussions that include non-GAAP results. A reconciliation of the non-GAAP results to GAAP has been posted on FalconStor’s website at www.falconstor.com under Investor Relations. After the close of business today, FalconStor released its Q4 2020 earnings. Copies of the earnings release and supplemental financial information are available on FalconStor’s website at www.falconstor.com. Now I’m pleased to turn the call over to Todd Brooks.
Todd Brooks: All right. Thanks, Clark. We appreciate it, and thank you very much to everyone who have taken your time today to participate in our call. We appreciate that. We are excited about the results that we’ve been able to generate in 2020 about the market that we serve about the value that our solutions deliver to our enterprise customers every day. We are a trusted data protection innovator. We’re over an exabyte of data under management. We enable the world’s most demanding enterprises to modernize their data backup and archival operations across data centers and public cloud environments. Our solutions that deliver increased data security and provide for quick data recovery, including recovery from ransomware attacks. And our solutions accomplish these while driving down the cost of data storage by up to 95%. Our solutions are utilized by enterprises and managed service providers across the globe and address two key areas of enterprise data protection, long-term data retention and recovery and then this is continuity driven data replication. Long-term data retention and recovery is key and crucial to our enterprise customers, because up to 80% of an enterprise’s data is archived and retained for more than 90 days, that’s 80% of their data. In this area, data storage optimization, security and portability are key. Our customers use our solutions to dramatically improve data import or processing speeds to significantly reduce the amount of data that they need to store that’s reducing storage cost and take advantage of a wide array of storage options, including those public cloud options now provided by AWS, Microsoft Azure and IBM. This is continuity driven data replication and recovery are also important as this data is typically stored for less than 90 days. And our customers need this data to be available for quick recovery disasters or ransomware or other unplanned situations, and they needed to intelligently manage the cost to store this data. So our solutions excel and these crucial enterprise data protection segments. As we reviewed during previous earnings calls in 2020, we implemented four key strategic initiatives at the beginning of 2020, as we continue to work our way to reinvent FalconStor. First, we focused on generating consistent growth by expanding our industry-leading long-term data retention and recovery product line by creating new, flexible and extensible the data storage innovations that we believe will drive our revenue growth over the next decade. Second, then on increasing our commercial investment and focus to regions of the globe where we have demonstrated growth and the ability to win. Third, then on sharpening our commercial and R&D focus related to our business continuity driven data replication products to ensure that we’re focused on those use cases, which are most important to our most strategic enterprise customers. And then finally, and arguably most importantly, delivering consistent operating profitability. So those are the initiatives we’ve launched into 2020 with. How did we do for the year? First, we generate a strong earnings growth during the year with over $1.8 million in 2020 GAAP operating income, which represented a 377% increase over 2019. As a result, we believe we’ve now built a solid and profitable operating foundation from which we can now build in 2021 and going forward. Second, we improved our gross margins to 88% during 2020 from 82% in 2019 by continuing to improve the efficiency of our customer support and professional services efforts. Third, we increased our free cash flow to $0.7 million or $700,000 in 2020 from a cash burn of $2.1 million in 2019. Finally, we successfully generated 11.7% year-over-year revenue growth in Q3 of 2020, but that quarterly revenue growth has not been consistent each quarter. In fact, in Q4 of 2020, so this most recent quarter, our revenue declined year-over-year by 20%. So we have work to do in this area still as we seek to drive consistent in quarter in and quarter out year-over-year revenue growth, but we are making good progress. In addition to the good revenue growth that we drove in Q3 of the year, our product revenue did increase year-over-year in 2020 by 5%. And then our new customer sales and bookings increased during the year by 26% compared to 2019. So all in all, when we look at 2020, we are pleased with the scalable foundation we’ve built and we believe we’ll begin generating consistent year-over-year revenue growth in the next several quarters, especially as our world begins to return slowly to a more normal state following the COVID-19 pandemic. So as you know though, we didn’t just start this reinvention process in 2020. We actually launched it toward the very end of 2017. So as a result, I thought it was important to give every one of you of how things have progressed along a more broad timescale. First, our net customer revenue retention, which excludes any hardware revenue, because since we now treat hardware as a pass through increased from 65% in 2017 to 88% in 2020. Our gross margin percent is increased from 78% in 2017 to 88% in 2020. Our adjusted EBITDA percent has increased from 7% in 2017 to 28% in 2020. Our free cash flow has increased from a $2.9 million annual cash burn in 2017, where we generated $700,000 in 2020. Our R score, which is simply calculated by taking your annual year-over-year revenue growth percentage and adding to that your annual EBITDA percent increased from a negative 14 in 2017 to a positive 17 in 2020. That’s a 31 point increase in something that we’re very, very pleased with. Finally, our percent of annual sales in non-core markets, such as China has decreased from slightly over 23% in 2017 to less than 5% in 2020. This is a very important shift as it allows us to be more focused in our core markets. Markets that are more efficient for us in which we have demonstrated that we have competitive advantage. Today, we have over 600 active customers that manage over one exabyte of data using FalconStor technology that’s protected by 47 patents and patent applications. 2020 produced, we believe our material commercial highlights, and I’d like to just go through and share a few of those with you now. First, the launch of our newest long-term data retention recovery product, which we call StorSafe, which significantly improves the ability for our enterprise customers to optimize their data storage and reduce related data storage costs by easily leveraging AWS, Microsoft Azure, IBM Cloud or Wasabi public cloud data storage. Next, we expanded our global partnership with Hitachi Vantara to deliver a new hybrid cloud data protection architecture powered by StorSafe and by Hitachi’s HCP object storage solution. Next, we deepened our integration with AWS cloud data storage tiers to further enable storage cost reduction for our enterprise customers. Next, we gained market share by accelerating replacements of the end of life IBM ProtecTIER solution. Next, we continued to demonstrate our ability to scale our data protection solutions where they 20 petabyte deployment across four cross border data centers for large transportation and logistics company, which is a customer of ours. And then finally, we expanded our solution functionality for our MSP customers like Blue Chip. It was a leading IBM focused UK based MSP, which now serves over 300 customers with 70 petabytes of data under management. I mentioned at the beginning of the call, we’re excited about our large and growing markets that we’ve traditionally served. And we’re even more excited by the addition of the cloud data storage optimization focus that we’ve added in 2020. I think it’s safe to say by all accounts that cloud data storage is here to stay for enterprise clients. In fact, it’s predicted to grow from $46.1 billion in 2019 to $124 billion in 2024 massive market. Going forward, as we think about our initiatives to continue our company reinvention, we’ll focus on six key initiatives. First, on increasing our subscription based recurring based revenue. Second, on generating consistent quarterly year-over-year revenue growth as we discussed earlier. Third, on continuing to innovate with our long-term data retention and recovery solutions. Fourth, continuing to serve the needs of our most strategic customers with business continuity driven data replication products. Fifth, one that I’m possibly most excited about is implementing a disciplined M&A strategy. And then finally, on continuing to improve our capital structure and liquidity profile. So we’re summarized, we’re excited about the progress that we’ve made over the last year about where we’re going into 2020 and about the base – scalable base that we have built over the last couple of years in order to be successful in 2020 and beyond. So with that, I’m going to turn it over to Brad Wolfe, our CFO to provide a more detailed view of our Q4 and fiscal year 2020 financial results. Brad?
Brad Wolfe: Thank you, Todd. We closed the three months ended December 31, 2020 with $3.7 million GAAP revenue compared to $4.1 million for the same period of the previous year, a decrease of 10%. GAAP total gross profit for the quarter was $3.2 million and GAAP total operating expenses were $3.2 million. As a result, we generated operating loss of $47,000 and a GAAP net loss of $94,000 during the quarter. Comparisons to Q4 2019 are provided, but a direct comparison between Q4 2020 and Q4 2019 is less informative due to a one-time $112,000 GAAP gross profit accounting adjustment we made during Q4 2019. Our results for Q4 2020 are not as positive as our Q3 2020 results. We are pleased by the overall progress made in 2020. In fiscal 2020, our GAAP revenue decreased year-over-year by 10.7% to $14.8 million compared to just over $16.5 million in fiscal year 2019. This increase of $1.8 million was primarily driven 73% by our strategic decisions to exit non-core markets and to stop selling hardware with $0.4 million of a decrease in non-core market revenue and $0.9 million decrease in hardware revenue year-over-year. But both of these decisions negatively impacted our 2020 revenue, these strategic decisions are important in our effort to build a healthier company. GAAP gross profit decreased by 5.1% to $12.9 million in 2020 compared to $13.6 million in 2019. However, as a result for a continued reinvention work, optimize our operating expenses, we reduced GAAP operating expenses by 22.1% to $11.1 million in 2020, compared to $14.3 million in 2019, which allowed us to increase GAAP operating income by 377% or $1.8 million in 2020 compared to a loss of $655,000 in 2019. Finally, our GAAP net income increased by 165% to $1.1 million in 2020 compared to a loss of $1.8 million in 2019, which represents a $2.9 million improvement in GAAP net income. Turning now to balance sheet, we ended the quarter with cash balance of $1.9 million compared to $1.5 million at December 31, 2019. Net working capital excluding deferred revenue contract receivables but including the redemption value of our term notes ended at $251,000 deficit and improvement of $0.3 million from Q3 2020 and a $0.7 million improvement from 2019. As we mentioned last quarter, we applied to the Payroll Protection Plan loan from the Small Business Administration and received $754,000 in May of 2020. We applied for forgiveness of the full amount in October of 2020 with the Small Business Administration and expect this amount to be forgiven. We close the quarter with $1.9 million of cash and cash equivalents. Accounts receivable growth of any reserves of $3 million accounts payable and accrued expenses of $2.7 million and deferred revenue of $6.4 million. The company is whether to COVID-19 disruptions well so far, and we believe we have created a stable operating foundation from which we can build in 2021 and beyond. Todd, I’ll now turn it back over to you for final comments.
Todd Brooks: All right. Well, thank you Brad very much. And I’ll just reiterate that the team has worked very hard, not only over 2020, but also since the very end of 2017 to just completely reinvent FalconStor. And we couldn’t be more excited to be here and we couldn’t be more excited about our future. So with that, let me pause and open up – and Clark, if you want to open up the floor for questions, we’ll be more than happy to take any questions that anyone has.
Operator: Yes, please. If anyone has any questions, just enter them in the question pane, you’d have a spot in the GoToMeeting panel, where you can enter questions and we’ll watch that area for a few minutes.
Todd Brooks: Yes. We’ll give everybody a couple of minutes to do that in case you’re not familiar with that functionality.
Operator: Okay. We got one from Bill Dawkins.
Todd Brooks: You’re just going to – Bill’s mic might be easier.
Operator: Oh, geez. Well, I’m not sure it’s not going to do that.
Todd Brooks: If you can go and read the question, I’ll be back in answer.
Operator: Yes, sir. Who do you primarily compete with?
Todd Brooks: Good question, Bill. Good to talk to you again. So within – that’s a great question. Because you remember back to the two primary segments that we address those long-term archive and then the business continuity driven data replication. One of the big reasons that we have focused so much attention on the long-term data retention side is because the competition in that space is dramatically less than it is over on the business continuity side. This continuity is much closer related to production data. And there’s just so many people that have been companies that have launched in that area and competition in that area is just years. But on the long-term side, it’s probably a bit less spectacular or glamorous and so the competition is less. Our primary competition is data domain from DellEMC. Some people think that competition comes in the form of backup competitors like Commvault or Veritas or others. And some people think that competition comes from the cloud storage providers. But in reality, those are both very complimentary partners for us. Our long-term data retention products are not backup solutions. Instead, they are backup data storage optimization solutions. And so we everyday get data that is fed into our solutions from Commvault, from Veritas, from IBM’s products, from a whole array of legacy backup vendors. And then we take that data and we’d be duplicate it. And then we store it in whatever storage medium that the customer wants. And so that’s where we don’t compete with an AWS or an Azure, because they are storage medium. And so we sit in the middle and we help our customers consolidate their backup and archive. We help them to modernize that, we help them to get a much better dedupe rate and then store the data wherever they see fit for the most optimal location. So the more storage options that come available or that come online the better, right. That gives us better – even a broader set of options that we can help our customers optimize against. So great question, Bill. I hope that answered it.
Operator: Okay. I’m not seeing any other questions. If anyone else has one, please type away. Okay. Todd, I think maybe – I think we’re good for the day, maybe.
Todd Brooks: Great. Well, folks, once again, thank you so much for taking your time. Everyone on this call is very important to this company and we’re very excited, like I said before, about our future, about the progress we’ve made. No doubt about it. We’ve got work to go, right. I mean, we’ve got to draw consistency in our revenue growth. We’ve got some good beginning signals, but we’ve got to drive consistency there. And we’ve just got to keep diligent about our strategy and we will continue to make progress down this road. But thank you very much and we appreciate your time and look forward to chatting again. Thank you.